Operator: Please standby, your program is about to begin. [Operator Instructions]. Excuse me everyone, we now have Sean Reilly and Jay Johnson in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of the company’s presentation we will open the floor for questions. [Operator Instructions]. In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions, including inflationary pressures on the company's business, financial condition, and results of operations. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control, and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's fourth quarter 2022 earnings release, and its most recent annual report on Form 10-K. Lamar refers you to those documents. Lamar's fourth quarter 2022 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures, was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean E. Reilly: Thank you Shelby and good morning all and welcome to Lamar’s Q4 2022 earnings call. 2022 was the most successful year in the company's history. On an acquisition adjusted basis revenues grew nearly 10% topping 2 billion for the first time and we reached record levels of EBITDA and AFFO. Perhaps what I'm most proud of, our team delivered consolidated EBITDA margins north of 46% in the face of last year's inflationary pressures. This strong performance amidst the broader uncertainty in the media space demonstrated the continued confidence that businesses have in out of home in advertising's ability to deliver powerful messages to their customers in the right places at the right times. For the fourth quarter, revenue grew 8.3% over 2021 or 4.6% on an acquisition adjusted basis, while expenses continued to moderate increasing 3.2% on an acquisition adjusted basis. That combination translated into nice operating leverage, allowing us to exceed the top end of our guidance range for full year AFFO at $7.38 per share. For the quarter, strong local sales offset weakening demand from national advertisers in line with trends evident elsewhere in the media world. For the quarter, local sales were up 7.6%, while revenue from national and programmatic channels were down more than 7%. Categories of relative strength in Q4 included service, education, and amusements and notably auto and retail were each up approximately 5%. Categories which were relatively weak included healthcare, online gaming, and insurance, reflecting in part a pullback from some large national accounts. Turning to 2023, I'd like to highlight a few trends from Q4 that are carrying over into Q1 of this year. Number one, local revenue remains solid as Main Street remains resilient. Number two, national weakness has persisted into Q1 of this year and we anticipate it will be down approximately the same as in Q4. That said, activity is picking up and we anticipate our national Book of business will be modestly positive for the full year. Number three, the significant expense growth moderation we saw in Q4 of last year is also carrying over into this year. You saw our AFFO per share guidance of $7.40 to $7.55 in our press release. The midpoint of that range reflects approximately 4% Pro Forma revenue growth for the year and approximately 3.5% expense growth for the year. That math would get us to consolidated EBITDA margins that once again exceed 46% in 2023.  Regarding our AFFO per share guidance, as Jay will explain in more detail, AFFO growth is being significantly affected by increased interest expense, resulting in only modest full year AFFO growth. We intend in 2023 to continue to invest aggressively into digital, which now accounts for roughly 30% of our billboard revenue. On a same store basis, our digital revenue was down slightly in Q4 2022, largely due to weakness in the programmatic channel. But our customers remain extremely enthusiastic about the product and we are targeting another 300 organic conversions in 2023.  Meanwhile, expect a quieter year on the M&A front. We completed $480 million in acquisitions in 2022, bringing the two-year deal total to nearly 800 million over the course of 2021 and 2022. The focus for 2023 will largely be on digesting the new assets and ramping up new markets such as South Bend and Fort Wayne which came to us in the Burkhart deal last spring and Valdosta and Eastern Kentucky which we picked up in the Fairway transaction we closed in December. In fact, about over 90% of our acquisition activity last year tilted towards Lamar sweet spot of small and mid-sized local oriented markets and fill in inventory. Before I turn it over to Jay, I want to thank all of our employees for their contributions in 2022. Our success in 2022 was a testament to their hard work and whatever 2023 holds, I'm confident that our team will make the most of our opportunities. Jay.
Jay L. Johnson: Thanks, Sean. Good morning, everyone and thank you for joining us. We had another solid quarter and are pleased with our quarterly results, which exceeded internal expectations across revenue, adjusted EBITDA, and AFFO. The company achieved AFFFO growth for the ninth consecutive quarter, improving 7.3% to $1.91 per share on a fully diluted basis. In addition, despite a challenging interest rate environment, the company ended the year above the high end of our AFFO outlook, which as you may recall, was revised upward in May. In the fourth quarter, acquisition adjusted revenue increased 4.6% from the same period last year against the difficult comp in which Pro Forma revenue grew 14% in the fourth quarter of 2021. Acquisition adjusted operating expenses increased 3.2% in the fourth quarter, continuing the trend of operating expense normalization. As expected, expense growth continued to decelerate in the quarter with comparison against more normal operations not impacted by COVID. The company maintained a strong adjusted EBITDA margin of 47.1%, which continues to lead the out of home industry. Throughout 2022, our sales team did a good job managing rates across our portfolio. Rates on our large format traditional bulletins increased in each quarter last year, growing by almost 7% in the fourth quarter and by over 8% for the full year. In addition, our outdoor portfolio remains at historically high occupancy.  Adjusted EBITDA for the quarter was $252.3 million compared to $230.7 million in 2021, which was an increase of 9.4%. On an acquisition adjusted basis, the increase was 6.3%. Free cash flow in the quarter also improved, increasing 6.9% over the same period last year. For the full year, acquisition adjusted revenue increased 9.8% to $2.03 billion compared to $1.85 billion in 2021, exceeding $2 billion for the first time in the company's history. Adjusted EBITDA was $938.1 million, which represents an increase of 10.6% on an acquisition adjusted basis following strong 22.7% increase in 2021. Adjusted EBITDA margin was 46.2% for the full year, which was essentially flat year-over-year despite inflationary pressure with acquisition adjusted operating expenses growing roughly 9% in 2022. The company ended the year with full year diluted AFFO of $7.38 per share, slightly above the $7.35 which was at the top end of our revised guidance. For the 12-months ended December 31st, diluted AFFFO per share increased 12% compared to full year 2021. Local and regional sales accounted for approximately 78% of billboard revenue in the fourth quarter. While local and regional sales grew for the seventh consecutive quarter, increasing 7.6%, our national business, which includes programmatic, declined for the first time since Q1 2021 and decreased by over 7% in the fourth quarter of 2022. If soft demand from national advertisers persist, the structure of our portfolio should mitigate the impact with an operating model heavily concentrated on billboards focused on local markets. On the capital expenditure front, total spend for the quarter was approximately $50.3 million, including $18 million of maintenance CAPEX. For the full year, CAPEX totaled $167 million, which included $63 million of maintenance CAPEX. We experienced another active quarter on the acquisition front. The company closed $192 million of acquisitions in the quarter across 19 transactions. Acquisition activity has been robust over the past two years. For the full year 2022, acquisitions totaled $480 million, exceeding 2021 by over 50%. And over the past 24 months, our acquisitions have totaled almost $800 million. Given this heightened level of recent activity, we anticipate a more modest in made landscape in 2023. Turning to our balance sheet. During 2022, we took steps to improve liquidity as well as extend our maturity profile. In June, we increased the facility amount of the AR securitization from $175 million to $250 million and extended the maturity to July 2025. We further improved liquidity in Q3, closing on a new $350 million term loan A to support robust acquisition activity in 2022. We have a well laddered debt maturity schedule with no maturities until the revolving credit facility and term loan A in February 2025 followed by the AR securitization in July of that year and we have no bond maturities until 2028. Most of our acquisition activity in 2022 was funded with proceeds from our revolver, and we originated the Term Loan A in lieu of senior notes given fixed income coupons at the time. The high-yield market has been more favorable for new issuance in 2023, despite the recent pullback over the past two weeks. We view the TLA as a bridge to a debt capital1 markets transaction and should the high-yield market continue to improve, we could issue bonds using proceeds to repay the Term Loan A in full. Such a transaction will bring our fixed rate debt to approximately 75%, the midpoint of our target range of 70% to 80% of fixed rate debt in our capital structure.  Based on current debt outstanding, our weighted average interest rate is 4.6% with a weighted average debt maturity of 5.3 years. As defined under our credit facility, we ended the quarter with total leverage of 3.18 times net debt to EBITDA, which is amongst the lowest level ever for the company. Our secured debt leverage was one times at quarter end, and we are comfortably in compliance with both our total debt incurrence and secured debt maintenance test against covenants of 7 times and 4.5 times respectively. Notably, despite the sharp rise in interest rates over the past year and based on today's guidance, our interest coverage should remain above 6 times adjusted EBITDA to cash interest. While we do not have an interest coverage covenant in any of our debt agreements, we do monitor this important financial metric. The healthy coverage level exemplifies the strength of our balance sheet and the ability to service our debt. At December 31st, we had approximately $747 million of liquidity comprised of $53 million of cash on hand and $694 million available under our revolver. As Sean mentioned and included in this morning's release, we provided full year AFFO guidance of $7.40 to $7.55 per share. Acquisition-adjusted revenue will grow for the third consecutive year post-COVID, though at a more modest rate following double-digit topline growth in each of the past two years. Operating expense growth will moderate as well, while cash interest will offset and impact AFFO growth. Full year interest in our guidance totaled $163 million, which reflects a 25 basis point rate hike next month.  The maintenance CAPEX budget for the year is anticipated to be the same as last year, $63 billion and cash taxes are projected to come in at approximately $11 million. Furthermore, we are undertaking corporate initiatives, which include modernizing and rationalizing our technology capabilities, most notably our financial information and customer relationship systems. We began this business process transformation last year and will continue in 2023, launching the implementation of an enterprise resource planning system or ERP, later this year with the first phase scheduled to go live in 2024. We are excited about embarking on this journey to more efficiently scale our business, better serve our customers, and position Lamar well for the future. Now moving to our dividend. Yesterday, our Board of Directors approved a first quarter dividend of $1.25 per share and management anticipates a full year 2023 distribution of $5 per share. As a reminder, the company's quarterly dividend is subject to Board approval and our dividend policy remains to distribute 100% of our taxable income. Also at yesterday's Board meeting, the company's Directors approved extension of both our share and debt repurchase programs. While we do not anticipate activity in the near-term, we view it as part of our financial policy to maintain that flexibility. Once again, we are pleased with our fourth quarter performance and finishing 2022 slightly above the high end of our guidance range. I will now turn the call back over to Sean.
Sean E. Reilly: Thanks, Jay. I'll hit some of the familiar operating metrics that we touch on quarterly. As I mentioned on digital same-board performance, it was slightly down in Q4, negative 1.9%. However, if you exclude programmatic, Q4 digital same-board performance was up 0.5%. National, as we mentioned, was down if you exclude programmatic national for Q4 was down 5%. Regarding programmatic, as we mentioned on our last call, our programmatic channel was challenged by some broader white noise in the digital ecosystem. This year, for 2023, we're budgeting programmatic to be up 10% over last year and we seem to be off to a good start towards that goal.  We ended the year with 4,465 digital units up in the air, that represented net new conversions for 2022 of 274 units. Same-board digital performance for the year was up 6.6% and again, we're targeting 300 net new conversions this year as we remain highly confident that our customers are very receptive to that product. Business mix, 78% local, 22% national for both Q4 of last year and the full year of last year. As Jay mentioned, we did $480 million in acquisitions for the full year last year. Again, we see a quieter year this year on the acquisition front. I already highlighted categories of strength, local services were up 21%; amusements, up 9%; education, up 15%; and this was offset somewhat by gaming, down 11%; and insurance, down 6%. So with that, Shelby, happy to answer any questions anybody has.
Operator: [Operator Instructions]. We'll take our first question from Ben Swinburne with Morgan Stanley. 
Benjamin Swinburne: Thanks. Good morning Sean, good morning Jay. Hope you guys are well. 
Sean E. Reilly: Good morning Ben. 
Benjamin Swinburne: Hello. Sean, two for you, and then I had one for Jay. On Q1, I think you made a comment about national staying a bit soft. What are you thinking about Pro Forma growth in the first quarter or just any more color on sort of how the quarter is shaping up since we're here in late Feb? And then your services category, which I think is your biggest in the book, but correct me if I'm wrong. I think you said, up 21%. Maybe that was just local. But just can you unpack the services piece of your business because I think the market always debate sort of how cyclical Lamar is, certainly a big topic in the REIT world, in particular. That's a category that's probably less cyclical than others and I think it's, broadly speaking, your largest category. I was wondering if you could just unpack what's in there and why it seems to be so stable, and frankly, so strong?
Sean E. Reilly: Great. Yes, thanks. So when we think about the cadence of the year, Ben, Q1 is going to be probably our weakest quarter as we see -- look into our pacings. As I mentioned, the midpoint of the range that we guided to is up approximately 4% Pro Forma for the full year. Q1 is going to be a little softer than that, let's call it low singles. And that's primarily the drag that's being created by national, which we anticipate, again, will be down in Q1 about the same as it was in Q4 of last year. We are seeing enhanced activity through the year, and we anticipate that the national book will actually end this year up modestly.  Regarding services. Services is a catch-up for many different local services. However, it is predominantly attorneys. And I would argue that it's relatively recession-proof. People still get in car wrecks whether the economy is strong or whether the economy is soft. And I think that was evidenced by the very, very strong growth that services represented in Q4 in the face of softening ad environment. So we feel good about it. We feel good about really where all of our verticals are looking. Last year, we had some softness in insurance. I anticipate that they're going to come back when they get some of their legs under them based on some of the actuarial challenges they had last year. Healthcare is going to, I believe, come back as well. And then the online gaming, it's going to normalize into what I believe is just sort of -- last year, they were -- at the beginning of the year, they were spending like drunken sailors, and I think that they're going to just sort of normalize into a regular category for us. Solid but not with the big beta that they've had the last 18, 24 months.
Benjamin Swinburne: Just as a follow-up, is sports betting, is that something you guys group in national, is that part of why national is weak?
Sean E. Reilly: Yes. The DraftKings, FanDuel, they tended to jump in where they were -- in States where they were legalized and try to grab share. And then as the landscape, as I said, kind of would normalize, then they would pull back in that state and they move on to another state. And we benefited from that in 2021 and early 2022.
Benjamin Swinburne: Yes, got it, okay. And then, Jay, I know you probably weren't expecting an ERP question, not the most exciting topic in the world, but we've seen companies end up spending a lot of money on these things more than they thought and then taking longer to implement than they thought. I'm wondering if you could just talk about the benefits to Lamar once this is up and running in 2024. Is this something you think will manifest itself into better financial performance from what we look at externally over time?
Jay L. Johnson: I think ultimately, and we're on a three to five-year journey, and we've been at this now probably 18 months to 24 months, just getting to a point where we can prepare to implement the ERP. But ultimately, it's about efficiency for our business, and it's really more about being able to grow at scale and maintain sort of status quo in terms from an expense perspective. So, it's really about becoming more efficient. In terms of timing, as I said, we've been at this about 18 months. We're going very, very slow, very methodically. We feel like we have the right team in place with the right advisers. We've been very, very thoughtful about that. We're just beginning the journey, but I think you'll really begin to see the impact in 2025. Our first go-live is mid-2024, and then our second go-live is early 2025. So, we'll start to see the impacts in 2025, and for sure, full year 2026.
Sean E. Reilly: Yes, Ben, let me give a little bit of color as well because this is something that's really important for Lamar and our shareholders. For this year and next year, you will see elevated expense growth at corporate for that reason. These things are complicated and they are expensive. But there is a payback and there is an ROI attached to the effort. We will get more efficient up here. At corporate, we'll push less paper with fewer people. And that's just -- we have never done this before. I get embarrassed when I talk about our IT here because our customer-facing IT is definitely state-of-the-art. Back office IT hasn't been touched in probably two decades. So it's time, and I'm excited about the project, and I know it's going to pay dividends. But again, you're going to see some elevated expense growth at the corporate level. As a matter of fact, I mentioned that the midpoint of the range was representing about 3.5% expense growth for this year. That's consolidated. If you just took our outdoor division, our billboard operations, their expense growth for this year is coming in sort of in the 2.5-ish range, we believe. So that delta is that is what we're doing to modernize our back office.
Benjamin Swinburne: Yup, got it, that’s helpful. Thanks guys. 
Operator: And we'll take our next question from Jason Bazinet with Citi.
Jason Bazinet: I know it doesn't affect AFFO, but I was a little surprised by the D&A number you guys put up in the quarter, I don't know if there's any color there, if I just sort of missed something? And then my second question is, if there was no organic growth for whatever reason sort of next year, if you just sort of took the benefit of the acquisitions that you did in 2022 and sort of got full year attribution in 2023, how much do you think that would help your top line? Thanks. 
Sean E. Reilly: Yes. I'll hit the second question and let Jay hit the D&A question. So the acquisition activity from last year will provide approximately 1.6% additional revenue growth over and above what would be organic. So that's the sort of the arithmetic there. And when we do these things, they happen pretty much ratably throughout the year, right. So some of the benefit in your last year, and then, of course, you get the full benefit this year.
Jason Bazinet: That’s perfect.
Jay L. Johnson: And then on the D&A front, it really was just a change in estimates associated with our ARO, our Asset Retirement Obligation from a GAAP perspective and inflation as well when you think about impacting our weighted average cost of cap.
Jason Bazinet: Okay. And so that you think that's like a decent sort of run rate going forward on the D&A side, there's no one-timers in there?
Jay L. Johnson: It's a onetime adjustment.
Jason Bazinet: It is one time, okay, alright. Thank you. 
Operator: [Operator Instructions]. We'll take our next question from Richard Choe with J.P. Morgan.
Richard Choe: Hi, I wanted to follow-up on the programmatic side. Did you say, you're budgeting a 10% increase this year, and I don't know what gives you the confidence there?
Sean E. Reilly: Good question. So we are off to a good start January internally. Actually, exceeded that budgeted increase. The programmatic, if I go back a few years, a lot of fanfare rapid growth. We were doubling and tripling and everybody was very excited. We turned the corner into last year and the broader digital ecosystem started showing some real weakness, and it carried over into the way programmatic digital buyers that buy our inventory, they pulled back a little bit. What we're sensing now is that there's a renewed interest in programmatic. The customers that use that channel don't use our traditional channels. They don't pick up the phone and call account executives or work through traditional agencies. They really only buy through this channel. And what we're hearing from our programmatic partners, Vistar, Place Exchange, the enablers of that channel is that they feel like this year is going to be markedly better than last year and that some of -- again, some of that disruption in the digital ecosystem has worked its way through.
Richard Choe: And then on the national side, you said that you expected to pick up at a slow start. Anything in particular you think is going on? And I guess to follow up with that, in the past, you've talked about normal course recessions. Are you thinking this year as a normal course recession or not quite there yet, which...?
Sean E. Reilly: Sure. So you saw our front release and their relative strength on the national front. In touching base with them and touching base with our own channel checks and our own touch points, we feel like there's a lot of activity. It's going to land in the second quarter and the third quarter. Those quarters seem to be a lot stronger when it comes to the national book. For us, we're only 22% national. And so a couple of big accounts can move that book around. And I sort of singled out the insurance accounts and online gaming accounts, but we feel confident that they're going to come back in. So -- and again, we can see the activity, and we just need to get through February. You're going to see it, I believe, a nice pickup there.
Richard Choe: Got it. And then finally, local is very strong, and you mentioned the strength there. Any signs that maybe the rate increases are flowing through and maybe earning some smaller businesses and some of the local exposure as rates have gone and everyone is adjusting to a higher floating rate level?
Sean E. Reilly: We're not getting much pushback when we ask for rate, and I think it's a factor of a number of things. Number one, the expectation for inflation we lived with it all last year, and people expected us to ask. And number two, the -- we went for a decade where we lived in a 2% world and we weren't really driving rate aggressively. So it was time. And then number three, I would remind everybody that out-of-home is the lowest cost per thousand advertising medium that there is. So when we -- we're $3 to $5 cost per thousand impressions. So when we drive rate, it's not quite the same as what they would see in other channels.
Richard Choe: Great, thank you. 
Operator: It appears that we have no further questions at this time. I will now turn the program back over to Sean Reilly for any additional or closing remarks.
Sean E. Reilly: Well, thank you all for your interest in Lamar, and we look forward to visiting next quarter.
Operator: Thank you. That concludes today's teleconference. Thank you for your participation. You may now disconnect.